Operator: Good day, ladies and gentlemen, and welcome to the Garmin Ltd.'s Fourth Quarter 2015 Earnings Conference Call. At this time, all participant lines are in a listen-only mode to reduce background noise. But, later, we will be conducting a question-and-answer session. Instructions will follow at that time. I would now like to introduce your first speaker for today, Teri Seck, Manager of Investor Relations. You have the floor ma'am.
Teri Seck - Manager, Investor Relations & SEC Reporting, Garmin Ltd.: Good morning. We would like to welcome you to Garmin Limited's fourth quarter 2015 earnings call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. An archive of the webcast and related transcript will also be available on our website. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial positions, revenues, earnings, market shares, product introductions, future demand for our products and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K, which will be filed with the Securities and Exchange Commission later today. Presenting on behalf of Garmin Limited this morning are: Cliff Pemble, President and Chief Executive Officer; and Doug Boessen, Chief Financial Officer and Treasurer. At this time, I would like to turn the call over to Cliff Pemble.
Clifton A. Pemble - President and Chief Executive Officer: Thank you, Teri, and good morning, everyone. As announced earlier today, Garmin reported fourth quarter revenue of $781 million, representing a 3% decline year-over-year. While our revenue trends are impacted by the ongoing secular decline of the PND market, I'm pleased to report that the aviation, fitness, marine and outdoor segments as a group grew 11% year-over-year and contributed 66% of total revenues. This growth and diversification of our revenue base is a direct result of the investments we've made in our business over the past few years. Gross margin was 52.9%, ahead of our expectations, but down slightly year-over-year, driven primarily by the competitive dynamics in our business segment. Operating margin declined to 18.7% as we continued to invest in engineering and advertising. These factors, offset by a lower than anticipated effective tax rate, resulted in pro forma EPS of $0.74 in the quarter. Looking briefly at our full-year performance, we reported revenue of $2.8 billion, a 2% decline year-over-year, driven mainly by global currency shifts that created significant revenue and margin headwinds. Despite these headwinds, the aviation, fitness, marine and outdoor segments grew 9% on a combined basis, contributing nearly $1.8 billion in revenue for the year or 63% of the total and generating 75% of our operating income. Gross margins and operating margins of 54.6% and 19.5% respectively were down compared to 2014, but exceeded our expectations in a difficult global economy. Unit deliveries increased 7% for the year to $16.2 million. Doug will discuss financial results in greater detail in a few minutes, but first I'll provide a few comments on each business segment. Beginning with the fitness segment, revenue for the year grew 16%, driven by growth in activity trackers. Gross margins and operating margins were 55% and 20% respectively. Gross margin was impacted by the competitive dynamics in the market, while operating margin was further impacted by ongoing investments in advertising and engineering. We believe these investments are strategically important in order to maximize the long-term opportunity in the fitness market. In 2015, we introduced Garmin Elevate wrist heart rate technology into our running and activity tracker product lines and we made significant enhancements to Garmin Connect Mobile. These developments have strengthened our position in the market and positively impacted our results for the year. In 2016, we are targeting revenue growth of approximately 10% in the fitness segment. New product introductions play a key role in our growth assumptions. Looking at outdoor, revenue declined 1% year-over-year as economic and geopolitical issues impacted sales of our core product categories. This weakness was partially offset by strength in the outdoor wearable category. The outdoor segment continued to generate strong gross margins and operating margins of 61% and 33% respectively. This represents a slight decline compared to 2014 due to product mix and additional investments in engineering and advertising to support new product launches. In 2016, we expect revenue growth of approximately 10%, which includes anticipated contributions from Pulsed Light and the pending acquisition of DeLorme. We anticipate that the wearable categories will continue to be strong in 2016, driven by the new Fenix 3 HR with wrist heart rate. In addition, we expect to benefit from new product introductions across other categories. Turning next to aviation, we reported year-over-year revenue growth of 3%, which exceeded our expectations in the midst of an industry decline of 5% as reported by the General Aviation Manufacturers Association. Gross margins and operating margins remained strong at 74% and 28% respectively. In the fourth quarter, the G3000-equipped HondaJet became the latest aircraft to receive FAA certification, bringing the total to 64 aircraft platforms certified with the Garmin integrated cockpit. In 2016, we are targeting revenue growth of approximately 5% in the aviation segment. While industry dynamics remain a factor, market share gains and new platforms provide opportunities for growth. Looking next at the Marine segment, we reported year-over-year revenue growth of 15%, driven by strong sales of new products. Gross margin improved to 55%, while operating margin was down slightly to 10% due to litigation-related costs. However, operating income grew 9% for the year due to stronger revenue and gross margin. For 2016, we are targeting revenue growth of approximately 10% in the Marine segment, driven by new product introductions. We believe our product lineup is very strong as we enter the marine season and we look forward to another year of growth in 2016. Looking finally at the auto segment, revenues were down 15% for the full year, as expected due to the ongoing decline of PND market. Gross margins and operating margins were 44% and 13% respectively and our global market share remains very strong. During the year, our presence at Honda expanded and now includes their Pilot, Accord, Civic and CR-V models. Additionally, our presence at Mercedes recently expanded and now includes their C-Class and E-Class models. Looking at 2016, we expect revenue to decline approximately 15%, driven primarily by ongoing declines in the PND market. We remain focused on disciplined execution in order to bring desired innovation to the market and to maximize profitability in this segment. I want to highlight one other matter regarding action cameras. As of 2016, we have reclassified our action camera product line from the outdoor segment into the auto segment. We believe this change will enhance the alignment of our engineering, marketing and sales resources. Going forward, segment results will be adjusted to reflect this change. So, in summary, we see many opportunities ahead in 2016. However, the macroeconomic challenges we faced in 2015 remain part of the operating environment. With this in mind, we're projecting revenue of approximately $2.82 billion, which is flat year-over-year and steady gross margin of approximately 54.5%. We are projecting operating income of approximately $510 million, with operating margins of approximately 18%. Factoring in an effective tax rate of approximately 20.5%, pro forma earnings per share is expected to be approximately $2.25, which includes a $0.05 negative impact related to acquisitions. So, that concludes my remarks. Next, Doug will walk you through additional details of our financial results. Doug?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Thanks, Cliff. Good morning, everyone. I'd like to begin by reviewing our fourth quarter and full year financial results, then move to comments on the balance sheet, cash flow statement and taxes. We posted revenue of $781 million for the fourth quarter, representing 3% decrease year-over-year. Gross margin was 52.9%, a 70-basis-point decrease over the prior year, driven by the increased competitive pricing in the fitness segment. Operating income was $146 million. Operating margin was 18.7%, a decrease of 320 basis points over the prior year. This is the result of both a decline in the gross margin rate and operating expense growth of 5% or $12 million, driven by litigation-related costs, increased spending in advertising and research and development. The pro forma effective tax rate at 13%, pro forma EPS was $0.74. Looking at full-year results, we posted revenue of $2.82 billion for the year, representing 2% decrease year-over-year. Gross margin was 54.6%, a 130 basis point decrease over the prior year. Operating income was $550 million compared to $691 million in 2014. Operating margin was 19.5%, a decrease of 460 basis points over the prior year, driven by both gross margin declines and increased operating expenses. Pro forma effective tax rate increased to approximately 20% for full-year 2015 compared to approximately 17% in 2014. Pro forma EPS was $2.49, a 20% decrease year-over-year. We'll discuss gross margins, operating expenses, effective tax rate in more detail later. Next, we'll look at fourth quarter and full year revenue by segment. During the fourth quarter, we experienced growth in four of our five segments led by fitness, with 14% growth and aviation with 12% growth. Collectively, these four segments were up 11% compared to their prior-year quarter. For the full year 2015, we experienced growth in three of our five segments, led by fitness with 16% growth, and marine with 15% growth. Looking at fourth quarter revenue chart on this page, the auto segment represented 35% of our total fourth quarter 2015 revenue compared to 42% in the fourth quarter of 2014. Fitness grew to 29% of revenue in the current period compared to 25% in the prior year. As you can see from the charts that illustrate our profitability mix by segment, outdoor, fitness, marine and aviation collectively delivered 75% of operating income in the fourth quarter 2015 compared to 68% in the fourth quarter 2014. Trailing down on year-over-year gross margin by segment, both aviation and marine posted gross margin rate increases due to product mix. Fitness gross margin rate was lower due to competitive pricing dynamics and product mix. Looking at full-year metrics, for the full year, the non-auto segments made up 62% total revenue compared to 57% in 2014. A similar shift occurred in operating income with 75% of our 2015 operating income collectively coming from outdoor, fitness, marine and aviation segments compared to 69% in 2014. Looking next at operating expenses, as previously mentioned, fourth quarter operating expenses increased by $12 million or 5%. This is a 250 basis-point increase as a percent of sales. Research and development increased $4 million year-over-year, grew 90 basis points to 13.6% of sales. We continue to invest in innovation, for increasing resources focused primarily on aviation, fitness, outdoor and marine where we see long-term growth opportunities. Our advertising expense increased $3 million over the prior year quarter, representing 7.3% of sales, 50 basis point increase. Additional spending was primarily in the fitness segment with a near-term focus on market share growth in wearables. SG&A was up $5 million compared to prior quarter, decreasing 100 basis points as a percent of sales to 13.4%. Increased spending in SG&A was driven primarily by litigation related costs and IT expenses. A few highlights on the balance sheet and cash flow statement. We ended the quarter with cash and marketable securities of about $2.4 billion. Accounts receivable increased sequentially due to the holiday quarter and was down year-over-year to $531 million. Inventory balance increased year-over-year to $501 million, so we grew our product offerings and continued to maintain an adequate supply of raw materials for safety stock. During the fourth quarter of 2015, we generated free cash flow of $131 million. Also, in the quarter, we paid dividends of $97 million and repurchased $23 million of company stock, with $160 million remaining for purchase through December 2016. With our dividend and stock repurchase activity during 2015, we returned $509 million of cash to our shareholders. As I previously mentioned, our effective tax rate decreased to 13% in the current quarter compared to a pro forma tax rate of 19% in the fourth quarter 2014. The lower tax rate was primarily result of income mix by tax jurisdiction, which is positively impacted by increase in actual full-year taxable income compared to previous projections and the resulting catch-up benefit for the first two quarters of 2015. Consistent with prior year, fourth quarter tax rate includes a full-year impact of the R&D tax credit. Our full-year pro forma effective tax rate increased from 17% in 2014 to 20% in 2015, primarily due to income mix by tax jurisdiction. We expect our full-year tax rate in 2016 to be approximately 20.5%. We announced this morning that we plan to seek shareholder approval for a dividend of $2.04 per share payable in four installments of $0.51 per share per quarter, beginning with our June 2016 calendar quarter. As Cliff mentioned, beginning in 2016, we will recast action camera sales expenses from our outdoor segment to our auto segment. As such, we'll provide a supplemental schedule to help assist in updating your models. A link to this schedule can be found within the appendix of today's webcast. This concludes our formal remarks. Andrew, can you please open the line for Q&A?
Operator: Our first question is from Simona Jankowski from Goldman Sachs. Your line is open.
Simona K. Jankowski - Goldman Sachs & Co.: Hi. Thank you very much. First of all, just in terms of the 10% growth in outdoor that you're expecting, how much of that is organic versus the contribution from M&A? And then just a follow-up, I wanted to get a sense for your thought process on OpEx and marketing expense into this year relative to last year, some of the fitness growth initiatives have not played out quite as expected. So, just curious if you are considering pulling back on that a bit.
Clifton A. Pemble - President and Chief Executive Officer: Yeah. So, Simona, the – in terms of the contributions from acquisitions, we don't break it out in detail, but a big portion of the growth in outdoor is the acquisitions and then some organic growth on top of that. In terms of the OpEx, we're looking at 2016 relatively conservatively. We do have expenses that we incurred in partial year of 2015, that rolled through a full year of 2016. So, that drives some of the increase, and then we have targeted investments in key areas, where we see opportunities for growth.
Simona K. Jankowski - Goldman Sachs & Co.: Thank you.
Operator: Our next question comes from the line of Ben Bollin from Cleveland Research. Your line is open.
Ben J. Bollin - Cleveland Research Co. LLC: Thanks. Good morning. When you look at the different product segments, how are you thinking about the gross margin trajectory on a look-forward basis relative to what you've seen over the last couple of years?
Clifton A. Pemble - President and Chief Executive Officer: Well, I think, the biggest dynamic, Ben, is the changes in the fitness market due to the competitive dynamics and the expansion of the overall market. So, that's one that's driving lower from where it's traditionally been. I would say that the other segments are pretty much on trajectory from where they've been. But keep in mind, we did see some change in the past year due to the currency issue and that will take some time to stabilize in terms of our ability to go back up as we introduce new products and new margin structures into the market.
Ben J. Bollin - Cleveland Research Co. LLC: And when you look at your OpEx performance or your guidance when you're thinking about OpEx in 2016, the implied OpEx figure looks basically flat to up in 2016 versus 2015. Last year, I think you grew about $100 million year-on-year, in 2014 you grew it about $80 million year-on-year. Is that how we should think about the model going forward, your kind of major heavy-lifting is done and now you're getting back to steady-state or is this kind of a pause year for you?
Clifton A. Pemble - President and Chief Executive Officer: Well, it's hard to look too far down the road because we don't know what additional things we'll encounter in the markets. But in terms of your observations around the previous year is, yes, we did ramp up substantially in those years, both in terms of our advertising spend as well as engineering spend as we launched new categories. We're looking at 2016 as being somewhat of a stabilizing year because we feel like the levels that we're at in particularly like the advertising area is something that we can work well with in the coming year.
Ben J. Bollin - Cleveland Research Co. LLC: Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Thank you.
Operator: Our next question comes from the line of Paul Coster from JPMorgan. Your line is open.
Paul Coster - JPMorgan Securities LLC: Yes, thanks for taking my question. The PND segment obviously continues to be a weight on growth, but it's now declining to the point where I imagine it's easier to start thinking about restructuring that segment and so liberating the overall company from that – perhaps culling some of the product lineup. I'm just wondering what your thoughts are in terms of the positioning of the PND segment, whether you are prepared to yield part of that market in order to just focus on profitability and growth moving forward?
Clifton A. Pemble - President and Chief Executive Officer: Well, the PND market is still a significant generator of revenue and profits, and we feel like the market is in a manageable phase in terms of its overall development. Our market share is very strong on a global basis. We believe we're the market leader on a global basis. So we really don't see any significant changes that we plan to make in terms of our approach to the market in the coming year.
Paul Coster - JPMorgan Securities LLC: Okay. Well, I think everybody when do you think that market might stabilize further and why this quarter should be any different? Any thoughts there?
Clifton A. Pemble - President and Chief Executive Officer: Well, it's a mix story. Around the world some countries and some markets, as you know, have shown signs of a stabilization, while others have continued to decline. So it's still a dynamic situation.
Paul Coster - JPMorgan Securities LLC: Okay. Last question. The ad spending that we've seen recently is it sort of a one-time deal or do you believe that you've now sort of established the new run rate in terms of your allocation?
Clifton A. Pemble - President and Chief Executive Officer: I think for the time being we feel like we've established a run rate that we're comfortable with and we'll continue to evaluate as market conditions evolve.
Paul Coster - JPMorgan Securities LLC: Great. Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Thank you.
Operator: Our next question comes from the line of James Faucette from Morgan Stanley. Pardon me, Faucette. Your line is open.
James E. Faucette - Morgan Stanley & Co. LLC: Hi, thanks. James Faucette from Morgan Stanley. Quick questions on both what you saw in 2015 and then in the fourth quarter, geographically, it looked like the U.S. and Europe was down, whereas Asia-Pac was quite strong. I'm wondering if you can give a little bit of at least segment color where its notable for those different regions? I'm just trying to determine kind of what was driving the differences in performance there. And then how are you thinking about the respective segments in 2016 in those geographies and things that we should be looking for? And then – so that's geographic questions. And then just quick follow-up question is, you seem to finally be getting a little more a least footprint with the automakers with the in-dash segment. How should we be thinking about your view on potential returns and return improvement on the investment that you've been putting into in-dash and what you think the way forward is for that part of the business? Thanks.
Clifton A. Pemble - President and Chief Executive Officer: Okay. Thanks, James. So in terms of the geographic mix, you're correct that the Americas segment was weaker and Europe, of course, was down and then APAC was strong. I think the dynamics there in Europe, first of all, the currency trends probably impacted us the most, and I think by segment we were actually pleased with many of the results that we had in 2015 and the gains that we had in terms of market share and unit deliveries. In terms of the Americas it was down and I think the biggest impact there was the activity tracker and fitness markets, which were primarily driven out of the Americas in terms of its overall development during the year. And then in APAC we've had strong success in terms of some of our segments there, particularly outdoor and also auto sales, auto OEM sales into various markets in APAC and the Middle East. So in terms of our outlook to 2016, I think we would anticipate some improvement in the Americas side of things, especially as we see growth in some of our traditional markets. I think in Europe we're continuing to plan for growth in terms of unit deliveries and overall improvements in margins and stabilization in currencies. In APAC, we're continuing to see an outlook for growth in terms of what's happening there as well. On the automotive OEM question, I would say that, yes, we continue to make incremental progress. I would say that it's pleasing, but at the same time we're not satisfied with that. We continue to drive for more wins. As you know that this particular market and business is a long-lead business, and so business develops very slowly and I probably can't say when we would see a stabilization, although we're trying to adjust our investments as well as going after near-term deals that would help us improve the overall picture there. So, in general, I feel good about where we're at and I feel like we have more work to do.
James E. Faucette - Morgan Stanley & Co. LLC: Thanks.
Clifton A. Pemble - President and Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from the line of Robert Spingarn from Credit Suisse. Your line is open.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Hi. Good morning.
Clifton A. Pemble - President and Chief Executive Officer: Good morning.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): So, Cliff, I have one for you on aviation and the strength in the quarter and just what you're seeing there given that some of these new products I don't think come online as you said until 2016? And then, Doug, for you, wanted to ask about your expectations for free cash flow in 2016 just given I guess the easy compare with 2015. You had the tax payment and then what buyback assumption might be in your 2016 free cash flow?
Clifton A. Pemble - President and Chief Executive Officer: Okay. So starting, first, Robert, with the aviation side of things, we are pleased with what happened in Q4. I think we would attribute that to several factors. One is, there was a kind of a rush of deliveries that took place at the end of the year, which typically does happen and we had newer platforms that, of course, were part of that mix allowing us to grow some of our revenues on the OEM side. And then we also ran successful promotions in Q4, which helped grow sales on the retrofit side. So I think generally we feel good about where aviation ended the year, but we do continue to see the headwind in terms of the overall market that we've been talking about for a while.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Cliff, before we go to Doug, do you see just on the back of that, do you have any line of sight as to when this market really fundamentally improves or is this global environment with FX and oil, et cetera, that just cloud everything well into the future?
Clifton A. Pemble - President and Chief Executive Officer: I think, my view is that that still presents a significant cloud to the longer-term. I would say that we feel that we have opportunities for growth in terms of market share and new platforms, which we continue to do. So we're not necessarily completely pessimistic, but we recognized that the overall trends are challenged, particularly as you see more stock market volatility and of course the lingering effect of lower oil prices and geopolitical events.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): And just to be clear, without the new product introductions on sort of same products, would you say volumes are trending negatively in 2016?
Clifton A. Pemble - President and Chief Executive Officer: I would say it's probably flat based on where things stand today. There's some steady-state deliveries that are going on with our existing OEMs and many of our OEMs are doing reasonably well in this environment. But, again, it's a headwind for everybody.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Okay, okay. Sorry, Doug.
Douglas G. Boessen - Chief Financial Officer & Treasurer: No problem.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): I cut you off on aviation.
Douglas G. Boessen - Chief Financial Officer & Treasurer: Yes. Regarding free cash flow, we expect about $400 million of free cash flow for 2016 that assumes about $75 million of CapEx. And regarding share repurchase for 2016, we'll actually monitor that depending upon market and the business conditions during 2016.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Is there anything in particular in that $400 million that makes it a bit lower than let's say the last couple of years before 2015?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Well, it is – we're factoring in the income forecast we have in our guidance as well as taking into consideration our working capital needs and inventory and such.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): So those are still rising a bit?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Just a bit. Probably working capital should not increase as much as it has in the previous years, but it'll probably a little bit as we grow our business.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Okay. And in any particular segments?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Probably be where we have the new product offerings, primarily in the fitness area, also in inventory, historically we've added some raw material requirements for safety stock, now we've built that up and we'll kind of monitor that as we go along we see the additional safety stock we need to build up.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): I see. Okay. Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Thanks, Robert.
Operator: Thank you. Our next question comes from the line of Charlie Anderson from Dougherty & Co. Your line is open.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yeah, good morning and thanks for taking my question. I just want a quick clarification on the growth rate assumptions in outdoor and auto if those were apples-to-apples with the reclassification with action camera. And then secondly on fitness, I wonder if we could kind of deconstruct just a little bit on a constant currency basis, how much did it grow in 2015, what are sort of the market assumptions for 2016 in terms of the core runner, cycler, cycling, activity tracker and then maybe market share you are assuming to stay pretty steady with market share.
Douglas G. Boessen - Chief Financial Officer & Treasurer: Yeah, this is Doug. I'll take the first part of that regarding the guidance numbers we had for outdoor and auto. Yes, we actually – those guidance numbers that we gave factored in recasting, reclassifying the prior year numbers. So beginning in 2016, the segment information that you'll see in our Qs go forward, will have those numbers recast.
Clifton A. Pemble - President and Chief Executive Officer: And in terms of our outlook, Charlie, in 2016 on fitness, we're projecting 10% overall in the segment and that's pretty much an equal mix of growth in trackers as well as the other product lines, the cycling, the running and all of those. In terms of market share where we are today, we believe we are the market share leader in the GPS-enabled wearable device part of the market. We believe that our share is currently in the low-to-mid 40% range. The market has expanded significantly in the past year, so in terms of overall unit deliveries, we are still on a growth mode and we would expect to take some additional share and reclaim some share in the coming year as we feel our product lineup is much stronger than it was with many more products coming out with wrist-based heart rate.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great. Thanks so much.
Clifton A. Pemble - President and Chief Executive Officer: Thank you, Charlie.
Operator: Thank you. Our next question comes from the line of Tavis McCourt from Raymond James. Your line is open.
Tavis C. McCourt - Raymond James & Associates, Inc.: Hey. Thanks for taking my question. A couple for you, Cliff. In the Aviation business, where do we stand now in terms of the mix that's OEM versus aftermarket and as you guided for the year, what are your assumptions on that aftermarket trend? And then in terms of the logic of moving the camera business to auto, is there some operational logic there besides just moving it to a declining business category, should we expect more integration of cameras and new applications in the PND segment?
Clifton A. Pemble - President and Chief Executive Officer: Yeah. Okay. So on Aviation, in terms of the mix, we don't detail that out, but generally we see slightly stronger results in OEM as we add new platforms and steady to increasing growth in terms of retrofit as we introduce new products into the market. In terms of our logic around the move of the action cameras, as I mentioned in my remarks, there's a lot of similarities in the technologies and the market channels for action cameras as well as dash cameras that we're having already in our automotive segment. And so consequently, we felt like it would better align all those resources and create more efficiencies as we deal with those similar technologies and risk to market.
Tavis C. McCourt - Raymond James & Associates, Inc.: Thanks. And Doug, if we look at the full year guidance of roughly flat on the top line, as we think about Q1, should it be a significant departure from that, better or worse based on – I forget if Q1 was a disappointing or strong quarter last year, but based on the comps and everything, how should we view Q1?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Yeah. We don't give quarterly guidance, but Q1 is a lower seasonal quarter for us.
Operator: Our next question comes from the line of Brad Erickson from Pacific Crest Securities. Your line is open.
Brad Erickson - Pacific Crest Securities: Hi. Thanks for taking my questions. First, just want to understand the margin dynamics, I guess, a little bit better for fitness, if we assume sort of flat FX, does 10% growth in fitness effectively equate to say stable margins or does that still imply some margin erosion year-over-year?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Yeah, Brad we're projecting margin erosion in fitness in 2016; of course, we had quite a bit of margin erosion in 2015 due to both currency and the competitive dynamics, but in 2016 we're projecting that the margin will continue to come down. We're comping against much higher margins that we had last year in the first half in fitness and we feel like it will stabilize down to a lower level, about a 300 basis point impact.
Brad Erickson - Pacific Crest Securities: Got it. That's helpful. And then just on the fitness products overall, you talked a lot about on this call thus far around the heart rate monitoring technology. Can you kind of give us a sense of maybe some of the other sensor technologies that are maybe of interest for those products in the future? Thanks.
Clifton A. Pemble - President and Chief Executive Officer: Well, we don't talk about our future roadmap but we have explorations going on around many different kinds of sensor technologies and looking at which ones of those will provide useful guidance information for average consumers.
Operator: Thank you. Our next question comes from the line of Will Power from Robert Baird. Your line is open.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Great, thanks. And maybe just first up a follow-up on aviation. I think on the previous call or couple of the calls you had referenced some of the negative energy impacts. I wonder if you could give us a sense for what you're seeing on that front, how much is that limiting the growth opportunity in 2016?
Clifton A. Pemble - President and Chief Executive Officer: I think the energy situation directly impacts particularly the helicopter market because helicopters are used significantly in oil exploration and all of the logistics that go around that. So that's one big impact. But then in terms of oil producing countries, the lower oil prices are having an economic impact broadly in those. So the citizens are not necessarily anxious to buy when oil prices are low. So that's really the major factors that's creating headwind in terms of the oil impact.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Okay. And then just bigger picture, just as you think about the cash balance versus probably one of the regular quarterly questions too, any updated thoughts with respect to plans for that cash balance thoughts around more aggressive stock buyback or the ability to do that or just any other updated thoughts with respect to how to best utilize that?
Clifton A. Pemble - President and Chief Executive Officer: Yeah. I think the priorities for our cash are to be a reliable payer of dividend over the long-term. So we focus heavily on that and then secondarily to look for opportunities for tuck-in acquisitions that can help complement our business, add resources or expand our markets. So these are the two primary areas and then we intend to supplement that with additional share buybacks. Based on our current free cash flow, our targets have been to return about 100% of that, again, based on where we are today. But it's something we evaluate as we go along depending on our cash flow and the overall situation.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Okay. Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Thank you.
Operator: Ladies and gentlemen, that's all the questioners in the queue at this time. So, I would like to turn the call back over to management for closing remarks.
Teri Seck - Manager, Investor Relations & SEC Reporting, Garmin Ltd.: Okay. Thank you, everyone. Doug and I will be available for call back.